Operator: Good afternoon, ladies and gentlemen, and welcome to Systemax Inc.'s First Quarter 2012 Earnings Teleconference Call. [Operator Instructions] As a reminder, this conference call is being recorded today, May 1, 2012. At this time, I would like to turn the call over to Mike Smargiassi from Brainerd Communicators. Please go ahead. 
Michael Smargiassi: Thank you, Mary. Welcome to the Systemax First Quarter 2012 Earnings Conference Call. I'm here today with Richard Leeds, Chairman and Chief Executive Officer of Systemax; and Larry Reinhold, Executive Vice President and Chief Financial Officer.
 This discussion may include certain forward-looking statements. It should be understood that actual results could differ materially from those projected due to a number of factors, including those described under the caption forward-looking statements in the company's annual report on Form 10-K. This call is the property of and is copyrighted by Systemax Inc. I will now turn the call over to Mr. Richard Leeds. 
Richard Leeds: Good afternoon, and thank you for joining us for today's first quarter 2012 earnings call. Let me start off by reiterating what we said in our press release. I am disappointed with our overall results for the quarter. The performance of our North American technology consumer business was below our expectations and masked the strong performance of the rest of our business units. As a result, our consolidated revenues and operating margin were down. We are focused on reestablishing revenue growth and improving profitability in our consumer business.
 The highlights in the quarter continue to be our B2B operations, which delivered another quarter of solid growth. Within our B2B businesses, the Industrial Products Group produced another exceptional quarter, with sales increasing 28% over the prior year. In fact, 6 of industrial's top 10 best-selling days in the company's 60-plus year history occurred during the first quarter of 2012.
 This performance is supported by e-commerce growth, with all product categories growing nicely. As well, both our European and North American technology B2B businesses recorded strong revenue growth.
 Our consumer business remains soft, with weakness in the TV home shopping channel being the single largest factor in our top line, as it was last quarter.
 Revenue from our web and retail store channels also declined in the quarter. From a product category perspective, we saw strong sales of computers, including desktops, laptops and tablets. However, this was more than offset by declines in consumer electronics and computer components.
 We believe most of our competitors also experienced sales declines during the quarter as the overall markets for these categories are down.
 We have been undertaking a number of strategic initiatives to improve our consumer performance and drive additional growth in our B2B operations that we expect to start taking hold as we move throughout the year.
 These efforts include the following: first, continuing our strong focus on margins. We've been focusing on holding product margins, moderating freight costs, and driving logistics cost reductions. Gross margins have shown a steady year-over-year improvement for 5 consecutive quarters. However, in the first quarter, even as we reduced costs across most of our channels and continue to benefit from our initiatives, our overall operating margin was significantly impacted by results in our North American technology consumer business.
 Second, we are further strengthening our senior management team to drive performance and capitalize on growth opportunities. Pim Dale, our new European tech leader, is building out his senior management team with a pan-European focus versus the previously -- previous country-specific approach.
 This new focus will allow us to better manage the existing business, as well as facilitate growth at a quicker pace to further capitalize on our footprint efficiencies, create new growth opportunities and enhance our ability to expand beyond our current markets.
 Additionally, our North American tech leader, David Sprosty, has been on board now for 6 months and has been adding senior managers for specific category, product and functional expertise.
 Third, we're adjusting our product mix and targeting new categories for expansion. This follows the model we have successfully implemented within our industrial segment and includes efforts to ramp up our private label products.
 Finally, we are immersed in our ongoing infrastructure improvements that are taking place across the entire company. These operational and IT initiatives are proceeding as planned and will promote greater efficiency to optimize our business structure across both our B2B and consumer businesses. We continue to believe we are well positioned for the future and have a solid core business that we are working to strengthen. We're building out our senior management teams in each segment and enhancing our ability to execute on our ongoing strategic initiatives. We look forward to sharing our progress with you as we move through 2012.
 Thank you and with that, I'll pass the call to Larry. 
Lawrence Reinhold: Thank you, Richard. Our first quarter 2012 consolidated sales were $913.6 million, a decline of 2% and essentially flat on a constant currently basis compared to the first quarter of 2011. Results for the quarter were driven by strong growth in our B2B operations, offset by challenges in our consumer business. Turning first to our channels. First quarter B2B channel sales were $512.7 million, growing 7% or 8% on a constant currency basis.
 B2B same-store sales on a constant currency basis also increased 8% year-over-year. Our consumer's net sales were $400.9 million, a decrease of 11% and 10% on a constant currency basis compared to the prior year. Consumer same-store sales on a constant currency basis decreased 14% year-over-year.
 On a geographical basis, North America sales were $615.1 million, down 5% or 4% on a constant currency basis. European sales were $298.5 million, were up 5% or 7% on a constant currency basis.
 Turning to our reporting segments, the Technology Products Group sales declined 4% year-over-year to $821.9 million, or down 3% on a constant currency basis, while operating income was $8.8 million or $10.4 million, excluding special charges. Our Industrial Products Group sales increased to $90.4 million, up 28% compared to the prior year. Industrial's operating income was $8.2 million or $8.5 million, excluding special charges.
 Looking at each of our reporting segments' performance during the quarter, the European Technology Products Group delivered strong revenue growth, driven by the U.K. and France, while the performance of countries like Spain and Italy continue to reflect difficult local economic environments. Bottom line results were also strong, with an increase in operating income, also driven by the U.K. and France. We were able to grow the profitability of this segment by managing our SG&A, which was down about 40 basis points. We are focused on building a more centralized organization in our European operations to create uniformity and consistency across business systems in all countries, which will drive additional efficiencies. Furthermore, we continue to add sales agents to support our growth and further evaluate expansion opportunities.
 Our North America Technology Products Group's revenue performance was impacted by the challenging consumer business, offset by continued strength in our B2B operations. On the bottom line, operating income declined, primarily the result of a soft consumer business. Within the North American B2B business, we continue to add sales agents as appropriate and expect to see benefits from these investments.
 Turning to the brick-and-mortar retail channel, our store count remains unchanged with 42 stores. Our second store in Puerto Rico, one of our best performing markets, successfully had its soft opening during the quarter, with a grand opening held last week.
 Additionally, we closed a poorly performing store in Plano, Texas, during the quarter. The television home shopping networks remained our weakest channel and was the single largest factor impacting consumer revenue. Also, our e-commerce channels remain challenging due to the competition in a soft CE industry.
 The Industrial Products Group had yet another outstanding quarter, with revenue increasing 28%, and with growth in both core and newer product categories. Margins remained strong, but we recorded a slight dip as we made investments in a new distribution and call center in the northeast. The new DC, which is expected to open in the middle of this year, will provide additional capacity to accommodate industrial's continued growth and the expansion of its sales force.
 Margins were also impacted by an increase in drop shipments, which carry lower gross margins, as we continue to expand our categories. As these new categories develop and build volume, we will be able to capitalize on our supply chain model and increase margin on each step by stocking the products, or moving to private label if demand is sufficient.
 At the end of the quarter, industrial SKUs totaled 526,000, up 8% sequentially and up 60% compared to the prior year. Our web business remains strong, and the Canadian website is ramping ahead of our internal growth expectations, with sales and traffic continuing to expand. During the quarter, we added an outbound sales force to our Nevada office, and we expect to continue adding new sales agents.
 Consolidated gross margin rose 30 basis points to 14.3% from 14.0% last year, as we benefited from logistics cost reduction initiatives and product mix changes.
 While progress was made across most of our businesses that reduced our SG&A expense, our overall SG&A grew by 1% of sales. This was primarily due to the effect of revenue declines in our North American tech businesses, which were not matched with the SG&A decreases. Consolidated operating margin was 1.2% compared to 2.0% last year. Consolidated operating margin was 1.4%, excluding onetime charges.
 Special charges incurred during the quarter were $1.9 million on a pretax basis or $0.03 per diluted share after-tax, consisting of costs associated with senior staffing changes in our North American tech business, legal and professional fees related to the previously disclosed investigation and settlement with a former officer and director, and restructuring costs related to the planned opening of our new Industrial Products facility.
 Pretax income of $10.5 million compared to $19.6 million in the first quarter of 2011. The effective tax rate for the first quarter of 2012 increased to 32.6% compared to 30.8% last year, primarily the result of increased projected taxable income in higher rate jurisdictions in 2012 as compared to 2011.
 Net income totaled $7.1 million or $0.19 per diluted share for the quarter. As of March 31, our balance sheet included $369.1 million of working capital, an increase of $14.4 million from year end, and $111.0 million in cash, an increase of $13.7 million from the year end, reflecting our efforts to continue proactively managing our balance sheet. The current ratio at March 31 was 1.8:1. Total debt was $9.1 million.
 With that, we'd like to open the call to questions. Operator? 
Operator: [Operator Instructions] And we have a question from Anthony Lebiedzinski from Sidoti. 
Anthony Lebiedzinski: First, on the home shopping channel, so this is the second consecutive quarter that you have mentioned this. So are you purely at the mercy of what they decided to air and you have no control with that or, I mean, can you explain as to what your plan is to get that business moving in a better direction? 
Richard Leeds: It's a combination of factors. One is that we have to have product to offer to them that they want to air. So -- I mean, that really has been the challenge of having that. And we are, yes we are subject to their desire to air the product, but we also have to make sure that we have products that they're going to want to air. So it's kind of a combination of both of those things. 
Anthony Lebiedzinski: And is it because of the lack of newness in TVs that -- or I mean why, why do you think that's the case? 
Richard Leeds: It has been primarily TVs, yes. And -- I mean, this is -- in selling them, they have certain desired outcomes from their airtime. And we have to kind of match what they are looking for, and we have to have products that -- like I said before, that they want to sell. So it's a combination of both. 
Anthony Lebiedzinski: Okay. And as far as the web business, is that purely a function of just a more competitive landscape or do you think there are other factors that are taking place over here? 
Richard Leeds: Well, one is, I think we could have done better ourselves, okay, and as I said, I'm disappointed in our performance. We could have done better ourselves. And the second thing is, right now, the market is having a downturn for us, as a whole. And so, as a ramp up takes place for when the Windows 8 launch, as new products come out. But if I had to blame this on really on one thing for the quarter in the consumer business, it's ourselves. Our other businesses, our B2B -- our B2B businesses did really well. Industrial in Europe did really well, and so we need to focus back on this consumer business and get ourselves moving in the right direction again. 
Anthony Lebiedzinski: When I look at your SG&A expenses, they increased 5.7% on a year-over-year basis. Can you just talk about the factors that drove that increase in expenses? 
Lawrence Reinhold: Well, there's -- Anthony, there's a number of obviously, like anything, there's a number of individual things that drove it. We certainly mentioned that the single biggest factor in the margin was the revenue decline, which could take the G&A cost out of... 
Anthony Lebiedzinski: Just asking. I'm just asking about the SG&A expense dollars. 
Lawrence Reinhold: So there's 2 primary things. We did add sales heads as primarily in B2B, but we did add sales heads. And the second thing is we did experience a lower amount of vendor funding of advertising, for co-op advertising. So those were probably the 2 largest factors that drove the absolute SG&A number higher, and I think the vendor funding reflects the current market out there. 
Anthony Lebiedzinski: Is there -- was there any timing issue, in terms of vendor financing or do you think this was just something you just won't get back? 
Lawrence Reinhold: There's always a timing issue with the way these programs work. So probably, there's a number of them that didn't get quite done in the quarter, and they got to be done in order to count them, but -- so it's a combination of both. 
Anthony Lebiedzinski: Okay. And also, can you give us an update on your, where you are with private label, and also, you guys have talked about improving your product assortment planning. Where do these initiatives stand now and what's the outlook for the next few quarters? 
Richard Leeds: So on private label, we've -- this is an ongoing process of taking the products that are -- that we have identified that should be a private label products, finding the right factories to make them, and then waiting -- and then negotiating with the factories, then waiting for the products to come in. So we have a number of products in the pipeline, both from the beginning stages of the pipeline and through the end stages of the pipeline. And we're continuing to have that to come in and for that number of products to grow. I don't actually have any numbers off hand that I can give you. But I mean, our plans for that are rather high, and we're going -- just going through this process, and it takes time. It's not like you can snap your fingers and have the product appear. So it's taking time. And for adding products, that's going to -- yes, that's definitely part of our strategy in the technology business, the same way it was in the industrial business. I mean, the industrial business, we grew the product offering 60% year-over-year, and we need to do that same thing in our -- in the North American consumer business. So just grow the product offering, and it’s going to -- that's going to be an ongoing process, the same way it's an ongoing process in our industrial business. 
Operator: I show no further questions in the queue, and would like to turn the conference back to Mr. Richard Leeds for closing remarks. 
Richard Leeds: Thank you, everybody. We look forward to talking to you next quarter. 
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program, and you may all disconnect at this time.